Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's Second Quarter 2025 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Today is Wednesday, August 13, 2025. It's now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Please go ahead.
Pamela Solly: Thank you, Constantine, and good day, everyone. Thank you for joining the Vista Gold Corp. Second Quarter 2025 Financial Results and Corporate Update Conference Call. I'm Pamela Solly, Vice President of Investor Relations. On the call today is Fred Earnest, President and Chief Executive Officer; and Doug Tobler, Chief Financial Officer. On August 12, 2025, Vista reported its operating and financial results for the quarter ended June 30, 2025. Copies of the news release and quarterly report on Form 10-Q are available on our website at www.vistagold.com. During the course of this call and the question-and-answer session, we will be making forward-looking statements. These statements involve known and unknown risks and uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for details of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements and the cautionary note regarding estimates of mineral resources and mineral reserves. I will now turn the call over to Fred Earnest.
Frederick H. Earnest: Thank you, Pam, and thank you, everyone, for joining us on the call today. During the second quarter, we advanced the 15,000 tonne per day Mt Todd feasibility study and announced the results of the feasibility study on July 29. We are very pleased with the strong economic results, the reduced initial capital, increased gold mineral reserves grade and stable gold production over many years as reported in the study. The feasibility study represents a major milestone for Vista, highlighting a strategic shift toward a smaller initial scale with near-term development opportunity at Mt Todd wall preserving optionality for expansion. I'm pleased to report that we ended the quarter with a solid cash position, which Doug will discuss shortly. Additionally, we have now achieved 1,369 consecutive days without a lost time accident at the Mt Todd site. We are committed to prioritizing the efficient use of our cash and creating long-term value for our shareholders through disciplined execution of our strategy for the Mt Todd gold project. I will discuss some of these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended June 30, 2025.
Douglas L. Tobler: Thanks, Fred. I'll begin today's discussion with a summary of our results of operations for the 3- and 6-month periods ended June 30, 2025, compared to these same periods in 2024. If you'd like additional details, our full financial statements and our MD&A are included in our Form 10-Q that we filed yesterday. For the 3-month periods, we reported a net loss of $2.356 million for Q2 2025 compared to net income of $15.633 million for Q2 of 2024. The net loss for the 2025 period was in line with our expectations. The change between the 2024 period and the 2025 period resulted mostly from the $16.9 million gain on grant of royalty interest that was recognized back in June of 2024 and an increase in exploration and property valuation expenses during the 2025 quarter. The gain reflected payments received from Wheaton totaling $20 million, net of the associated mineral property carrying value of $3.1 million at the time. Higher exploration and property valuation expenses resulted from Vista having expensed $850,000 during Q2 of 2025 for the feasibility study, while the drilling costs in Q2 of 2024 mostly qualified as development costs and were capitalized. For the 6 months period, we reported a net loss of $5.064 million for the 2025 period and net income of $14.560 million for the 2024 period. The reasons for the change between periods are similar to those discussed for the 3-month period. Again, the 6-month period for June 30, 2024, included the $16.9 million gain, and this period also included an $800,000 gain on sale of a portion of the company's used mill equipment. Exploration and property valuation expenses were also higher for the 6-month period ended June 30, 2025, because the company recognized $1.6 million for the 2025 feasibility study compared to the same period in 2024, when our drilling costs were largely capitalized as development costs. Turning to our financial position. At June 30, 2025, we continue to maintain a strong cash position to support our ongoing work at Mt Todd. We ended the second quarter of '25 with $13.2 million cash on hand, this compares to $16.9 million cash on hand that we had at December 31, 2024. The reduction in cash resulted primarily from expenditures for the feasibility study and costs of a recurring nature, which included Mt Todd holding costs and corporate G&A. I'd also highlight that we continue to have no debt. Now looking forward, we expect our recurring costs and other expenses to remain largely in line with expectations. For the 12-month period, ending June 30, 2025, we estimate going forward for the next year that our recurring costs will be approximately $6.8 million, plus about $1.8 million related to ongoing and currently planned work at Mt Todd. Thank you. That concludes my remarks for today. Fred, I'll turn the call back to you.
Frederick H. Earnest: Thank you, Doug. As I mentioned earlier, we announced the results of the 15,000 tonne per day Mt Todd feasibility study on July 29. The study demonstrates strong economics and provides a favorable development alternative to Vista's previous feasibility study, which was completed in 2024 at a throughput rate of 50,000 tonnes per day. For those of you who may not have participated in our conference call following the announcement of the feasibility study results, I will provide a few highlights. The feasibility study demonstrates a 59% reduction in initial capital costs to USD 425 million. When divided by the total ounces produced, this represents a very competitive capital efficiency of $93 per ounce of gold produced. The study also reports an average ore grade of 1.04 grams of gold per tonne over the first 15 years of operations and 0.97 grams per tonne over the life of mine. These are both improvements from the previous study. Average annual gold production is estimated to be 153,000 ounces of gold per year during years 1 through 15 and 146,000 ounces of gold per year over the 30-year life of the mine, with life of mine average gold recovery of 88.5%. The plan is designed with 3 stages of crushing, single-stage sorting, 2 stages of grinding and a carbon and leach recovery circuit. To minimize capital expenditures and operational risks, we have utilized contract mining and third-party power generation in this study. And while this study does not assess potential expansion opportunities, we have preserved the optionality for future expansion by incorporating expansion considerations into the designs and layouts. The economics of the study are strong. And we reported an after-tax net present value at a 5% discount rate of USD 1.1 billion, an internal rate of return of 27.8% and a 2.7-year payback all at a $2,500 per ounce gold price. Now at a gold price that's closer to spot, we used $3,300 per ounce gold price and the after-tax NPV at the same 5% discount rate is $2.2 billion at that gold price with an IRR of 44.7% and a payback of 1.7 years. After-tax free cash flow at the $2,500 gold price is $1.6 billion for the first 15 years of commercial operations. All-in sustaining costs were estimated to be just under $1,450 per ounce for the first 15 years of the project and just under $1,500 per ounce for years 1 through 30. For additional information on the feasibility study results, I invite you to refer to our news release dated July 29, 2025, and the feasibility study presentation, both of which can be found on our company website. Changing topics. During the second quarter, we maintained our focus on safety, environmental stewardship and stakeholder interest. Mt Todd achieved 0 lost time accidents and as I reported, has now achieved almost 1,370 days without a workplace incident. We remain committed to our health and safety programs and are focused on building on this achievement. Site personnel continued to successfully manage Mt Todd's environmental initiatives and management continued its proactive engagement with the Jawoyn Association Aboriginal Corporation and other key stakeholders. Looking forward, we believe the results of the study demonstrate a very attractive development opportunity for Mt Todd. It positions Mt Todd as a project with technical and economic parameters that are comparable to several highly valued Australian gold producers. We continue to focus on advancing Mt Todd in ways that demonstrate the underlying value of the project and position it for near-term development. We believe the results of the feasibility study position Mt Todd as one of the most attractive development stage projects in the gold sector. In conclusion, Vista is committed to seeing Mt Todd developed in compliance with the highest mining and ESG standards, and we will work diligently toward that goal. For a more comprehensive review of the work completed by Vista on the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity and that current prices represent a tremendous opportunity to establish a position or increase one holding in Vista Gold. This concludes our formal remarks, and we will now respond to any questions from participants on the call.
Operator: Ladies and gentleman, we will now begin the question and answer session. [Operator Instructions] Your first question comes from the line of [ Matthew Giannelli ], a private investor.
Unidentified Analyst: I had a question. Let's say you do decide to finance the project through a lender or participate in a joint venture. What would you -- do you guys have any idea what you guys would do with the profits? Would you use it to expand operations? Or do you just intend to distribute the funds through dividends? I'm just curious to hear what your thoughts are on that.
Frederick H. Earnest: Matthew, thank you for that question. That's a very important question. And certainly, it's not possible at this point in time to give a definitive answer to your question. We did indicate that the project has been designed with a long life presently, but we preserve the opportunity for expansion. Whether an expansion would happen or at what scale that expansion would happen would depend on economics at the time. I believe that there would be, at all times, a part of the profits that would be returned to investors. We feel very strongly that investors deserve a return. And whether all of those profits will be returned to shareholders or whether there will be -- whether we'll be seeking opportunities at that stage in the life of the company to make other acquisitions or expand Mt Todd will be determined based on market factors at the time. But certainly, I would feel comfortable saying that the Board would place a high priority on returning part of the profits that are generated back to shareholders in the form of dividends.
Unidentified Analyst: I am still speaking. Can you still hear me? I just had a follow-up question on that. Just a quick question. Did you guys -- have you -- would you be able to tell us if you guys had any increased interest from investors or like signed any new confidentiality agreements?
Frederick H. Earnest: We don't disclose who we've signed confidentiality agreements with, but I can say that we have signed new confidentiality agreements in the last several months. Doug Tobler and I were in Australia last week for a conference called Diggers & Dealers and we met with a number of potential partners or transaction partners, and there will be additional confidentiality agreements signed as a result of our participation in that conference.
Operator: [Operator Instructions] Your next question comes from the line of [ Tony Sarda ], private investor.
Unidentified Analyst: Guys, I appreciate you holding this call here. We're very excited about the future with Vista Gold. And kind of pigging back on the last question on the second part there. In terms of the confidentiality agreements you guys have recently signed and have upcoming, what counterparties are showing the most interest in Mt Todd, strategic miners, private equity or any additional royalty companies? And how are you evaluating potential JV versus M&A options in the current environment? I mean gold is really soaring here. So it'd be interesting to hear more on this.
Frederick H. Earnest: Yes. And I might ask Doug to comment when I finish, but the confidentiality agreements that have been signed are with strategic investors right now, other producing mining companies. We view the M&A space right now as a very interesting space. We've been facing a little bit of headwind over the last several years with producers being more interested in merging or acquiring other producers than looking at development stage assets. We think that we see some changes happening in that space. With regards to whether we would pursue a joint venture, an asset level or corporate level sale of the project, the company or whether we would ultimately decide to develop Mt Todd on our own are decisions that will be made at some point in the future. We continue at this time, our focus is on raising awareness of the Mt Todd project with this new evaluation, the value of the project in particular is very strong. We think that this is a great selling point for the project at this point in time. The economics at conservative gold prices are very, very solid. And right now, we're focused on meeting, talking with increasing the understanding of a wide group of potential partners. And then once we have confidentiality agreements signed, beginning that process of due diligence. And ultimately, we hope that many of these will lead to site visits and further serious discussions. So Doug, anything that you would add to that?
Douglas L. Tobler: No. I guess the only thing I'd emphasize is at this point in time, we're open to any of these alternatives. It all hinges around what's the most proximate and the best value for our shareholders. Somebody comes in and wants to do a joint venture, we're not going to say no if they also bring to the table the right types of skill sets in terms of development, putting the asset online quickly and so forth. Similar company might come in and say, well, we don't want to do a joint venture, we'd be interested in owning the whole thing. We're going to be open to that as well because that might generate a more rapid realization of value for shareholders. So we're not closing the door on any of these options at this point in time.
Operator: There are no further questions at this time. I'd like to turn the call back over to Mr. Fred Earnest for closing comments. Please go ahead.
Frederick H. Earnest: Constantine, thank you. And all of you who have been on the call today, thank you very much for taking time out of your morning or early afternoon to join us. We're very excited about the future for Vista Gold and the Mt Todd gold project. Very pleased with the results of the feasibility study that were announced last month. Again, I'd just highlight a couple of key achievements of the study. The significant reduction in initial capital expense is monumental. The improvement in reserve grade that's come about as a result of raising the cutoff grade was another significant target for this study. Very happy with the economics of the study at close to current gold price, $2.2 billion NPV5 and almost 45% IRR. We're very pleased with those numbers. I think they speak to the strong leverage that we continue to enjoy with regards to the Mt Todd gold project, and it speaks to the robustness of the project. I'm very pleased with these results. I can't give enough thanks and acknowledgment to the team that has worked on this feasibility study. We're very happy with the contributions of all of the consultants and the Australia-centric experience that many of them bring and have brought to the study. Maria Vallejo, our Director of Projects and Technical Services, has done, I feel, an exceptional job in managing this study and very thankful for her efforts in shepherding the study to this positive result. I'm very optimistic about the future of Vista and the Mt Todd project. I invite all of you to follow closely. We will be attending some conferences in the next month. We're very excited for additional opportunities to sit down and meet with the companies that we may have already signed agreements or confidentiality agreements with or that we believe would potentially be interested in the Mt Todd project. We invite you to follow us. We thank you for your time today, and we wish all of you a very pleasant day. And with that, we'll close this call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.